Operator: Ladies and gentlemen, thank you for standing by and welcome to Phoenix New Media Fourth Quarter and Fiscal Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today call includes question-and-answer session [Operator Instructions]. I must advise you that this conference is being recorded today, Tuesday, March 14, 2017. I would now like to hand the conference over to your first speaker today, Mr. Matthew Zhao. Thank you, sir, please go ahead.
Matthew Zhao: Thank you, operator. And thank you and welcome to Phoenix New Media fourth quarter and fiscal year 2016 earnings conference call. I'm joined here by our Chief Executive Officer, Mr. Shuang Liu; our President, Mr. Ya Li; and the Chief Financial Officer, Ms. Betty Ho. For today's agenda, management will provide us with a review on quarter and also include a Q&A session after the management's prepared remarks. The fourth quarter and fiscal year 2016 financial results and the webcast of this conference call are available at the Investor Relations section of www.ifeng.com. A replay of the call will be available on the website in a few hours. Before we continue, I refer you to our Safe Harbor Statement in our earnings press release, which applies to this call, as we will make forward-looking statements. Finally, please note that, unless otherwise stated, all figures mentioned during this conference call are in Renminbi. With that, I would like to turn the call over to Mr. Liu Shuang, our CEO.
Shuang Liu: Thank you, Matthew. Good morning and good evening, everyone. I'm very pleased to report that for the fourth quarter 2016, we delivered better than expected top and bottom line results. Our solid financial performance is a testament to the strengthening of our mobile platforms. We remained agile as a Chinese media landscape continues to involve and a focus on proving our users with superior media company with cutting edge technology. Let’s start with updates of ifeng News app. In the fourth quarter of 2016, our ifeng News app and officially launched the algorithm for the newsfeed for the first time. Users are now able to get more targeted and relevant recommendations that are tailored to their specific needs in their newsfeed. Ifeng’s strong media DNA allows us to take the ideal balance between algorithm driven news and professional journalism and push high quality and personalized content to our users based on their reading records and profiles. As a result, we witnessed strong traffic re-bond after the launch of this function upgrade in Chinese New Year when media outlets normally experienced traffic drops in similar situations. This clearly demonstrates the power of our product and the sequence of our users. This positive user reception was further reinforce within server third-parties recognize its solid adoption and growth. At December 2016, ifeng was ranked as number one paid news app in China in the iOS App Store and won the award for the most popular information app by an authoritative third-party in China. Additionally, we are confidently working to improve the operation of our products and are delighted to see our strengthening streamlining efforts bear fruit. Because of our new talent, our senior teams and the restructuring of our news app team our operations has improved significantly. Our news team’s impact has been immediate and dramatic, resulting in a significant five minutes increase per day in average user time spend. We’re also working more cost efficient a differentiated approach to acquire new users. Specifically, we are delighted to deepen our partnership with Huawei, one of the leading handset manufacturers in China. Over the past quarter, ifeng News app became the exclusive news app preinstalled on to Huawei’s new flagship models, Mate 9 and Mate 9 Pro. This cooperation demonstrates the ifeng News app’s high quality and popularities continued to be recognized by leading handset manufacturers. Moving on to Yidian’s developments, unlike other personalized news app, by leveraging our advanced data collection and analysis technology, we aim to provide Yidian users with high quality balanced and professional content. Yidian’s total average DA use including both app and newsfeeds in browser reached 45 million in February 2017. With Yidian’s unique interest engine technology, its users had created more than 3.65 million keyword specific channels. This translates into user aggregated over 4.7 billion various total subscriptions in 2016. During the fourth quarter, Yidian also made significant progress in deepening its cooperation with professional organizations. For example, as a part of our partnership with [indiscernible] bookstore, Yidian will leverage its big data analysis capabilities to release up to date best sellers list, our readers interest report via the Yidian platform. Yidian also partnered with Weather China, the official website of China meteorological administration to provide users with personalized and targeted weather service. In addition, Yidian received a China [indiscernible] awards from media marketing which was endorsement of Yidian’s strong potential to provide more effective marketing services for advertisers that other media platforms. Moving on to our collaboration with leading Chinese handset manufactures. We are pleased that Yidian’s key strategic partners OPPO and Xiaomi both continued to lead China’s handset industry in 2016 with OPPO topping China’s smartphone market in terms of shipments in the fourth quarter of 2016 according to IDC. Together with ifeng News app collaboration with Huawei, our combined partnership with three of the top five handset manufacturers in China has become key elements of our user acquisition strategy. Going forward, we’re continue to collaborate with key strategic partners supporting our user footprint and establish Yidian as a leading AI pack media and entertainment app in China. Moving on to our content operations, since joined us Mr. Tong Chen has been leading the efforts to establish one premium content media accounts as a key synergy in order or book Yidian and ifeng teams to eliminate redundancy. Currently, we collaborate with almost 200,000 we-media accounts, including approximately 3,000 sales media video accounts. With joint channel operations, we’ll be able to achieve better synergy with our 75 million combined daily users, which acts as a various cycle - which acts as a virtuous cycle to attract more leading we-media accounts to join us in the future. In the fourth quarter of 2016, we continue to focus our reporting major global configures, especially those surrounding the recent political changes and current political climate in the United States that have tremendous impact on the global landscape. Our related reporting attracted a record breaking 40 million users in data traffic in eight hours that was the most widely shared reporting of the event in the Chinese social media. Meanwhile, we’re developing a differentiated, innovative and industry leading approach to live broadcasting service. Instead of celebrity style, chat room broadcasting, we leverage our recognized brand influence or the media DNA to broadcast live content that is generally interactive and interesting. One example of this is that we broadcast live the 67 hour train ride from Northeast China to Xinjiang during the 2016 spring festival transport. Throughout the entire ride, our team interviewed more than 50 individuals including Chinese from different divisions and over 30 passengers who came from a variety of backlogs. More than five million users join in to this event across our platform and more than 10 southern medicines interacted lives our common dashboard. In recent years, we have built up a series of marketing events in finance, fashion, entertainment and other industry to leverage our ifeng brand and to create native marketing platforms for our brand advertising clients. Last November, we hosted the 2016 ifeng Finance Summit with the same decision making and the market many well-known experts and scholars from China and abroad joined the discussion and shared their lively views on Chinese and global economic trends. Most notably, reporting coming out of the event achieved strong results with 6.5 million unique visitors for the food topic. It proved that our summit is warmly welcome, because it is able to providing assortatively professional content, academic views. Meanwhile, our events further broaden advertises breadth influence by erecting strong recognition among high end users. We view this summit as an all win event for the company, the users and our advertising clients. To conclude, after reshuffling of our news app team in the second half of 2016, we have created more solid expertise in news app operations and user growth. Heading into 2017, we’ll continue to invest in improving our mobile platform and providing our users with the highest quality of personalized and specialized media content. With our media expertise and branding powered, we’re uniquely position to capture the market opportunities we buy derived from the increasing demand for premium content and the fast growing news feed advertising market. As we have been investing significant effort into improving the performance of our mobile platform, we believe the Chinese mobile industry remains highly competitive. In order to maintain our leading position, we need to continue to invest on mobile user acquisition. With a competitive market environment and China’s uncertain macro economy, we believe that 2017 will be another challenging year for us. Nevertheless, we remain committed to expanding our market share driving revenue growth rather than profitability. Looking ahead, we're confident that we are working in the right direction to further improve our performance and deliver value to our users, advertising clients and stakeholders. With this, I’ll now turn it over to our CFO, Betty Ho.
Betty Ho: Thank you, Shuang. And thank you all for joining our conference call today. As Shuang mentioned earlier, we are very glad to have exceeded our guidance for the quarter and closing out a challenging year with solid financial results. Ifeng’s total revenues for the fourth quarter came in at RMB411.9 million driven by the mobile advertising sales growth. Non-GAAP net income attributable to Phoenix New Media for the fourth quarter was RMB41.4 million or RMB0.57 non-GAAP net income per diluted ADS. Now let me take you through our financial highlights for the fourth quarter of 2016 results. The amount mentioned here are all in RMB unless otherwise noted. The differences between GAAP and non-GAAP on non-cash, on non-operating items which are share based compensation, loss from equity investments, including impairments, gain on disposal of an equity investments and acquisition of available for sell investments. Starting with revenues, net advertising revenues for the fourth quarter came in at RMB353.2 million, represents a year-over-year increase of 2.0% and with our previous guidance high end by 11.8%. The increase was primarily due to the 22.5% year-over-year growth in mobile advertising revenues, and was partially offset by the 9.2% year-over-year decrease in PC advertising revenues. Paid service revenues for the fourth quarter were RMB58.7 million, which represents a year-over-year decrease of 30.6%, which our previous guidance high end by 12.9%. MVAS revenues decreased by 47.9% to RMB31.1million, mainly resulted from the decline in users' demand for services provided through Telco operators in China, which was consistent with the company's expectations given the shrinking demand for such services in general. Games and others revenue increased by 10.6% to RMB27.7 million, primarily due to the increased revenues generated from online digital reading. Secondly, growth profit and margin. Non-GAAP growth profit for the fourth quarter of 2016 was RMB205.7 million as compared to RMB216.5 million in the same period last year. Non-GAAP gross margin for the fourth quarter remained approximately the same at 49.9% as compared with 50.2% in the same period last year. In terms of cost of revenues, non-GAAP content and operational costs as a percentage of total revenues increased to $33.9% from 26.4% in the same period last year. It was mainly due to the increase in general operating costs, and advertisement related content production cost. Revenue sharing fees as a percentage of total revenues decreased to 4.2% from 10.8%, primarily due to the decreased sales of MBA as products. Bandwidth costs as a percentage of revenues decreased to 3.7% from 4.6% in the same period last year. Sales tax and surcharges increased to 8.3% from 7.9% in the same period last year. Thirdly, non-GAAP operating expenses for the fourth quarter decreased by 1.4% to RMB182.7 million from RMB185.4 million in the same period last year. Non-GAAP operating income for the fourth quarter was RMB23 million as compared to RMB31.1 million in the same period last year. Non-GAAP operating margin for the fourth quarter was 5.6% as compared to 7.2% in the same period last year. The decrease in operating margin was mainly due to the increase in advertisement-related content production costs and mobile traffic acquisition expenses. Fourthly, GAAP net income attributable to ifeng for the fourth quarter was RMB39.8 million as compared to RMB41.1 million in the same period last year. Non-GAAP income attributable to ifeng for the fourth quarter was RMB41.4 million as compared to RMB44.9 million in the same period last year. Non-GAAP net income per diluted ADS for the fourth quarter was RMB0.57, as compared to RMB0.62 in the same period last year. In terms of balance sheet items, as of December 31, 2016, the company's cash and cash equivalents, term deposits and short term investments and restricted cash were RMB1.34 billion or approximately US$192.8 million. Restricted cash represents deposits placed as security for banking facility granted to the company, which are restricted as to their withdrawal or usage. Let me briefly run through the key figures for fiscal year 2016. Total revenue for 2016 were RMB1.44 billion as compared to RMB1.61 billion in fiscal year 2015. Net advertising revenues were flat at RMB1.23 billion of which mobile advertising revenue increased by 53.8% year-over-year. However, it was offset by the decrease in PC advertising revenues. Paid service revenues decreased by 44.4% year-over-year to RMB212.7 million. The decrease was mainly due to the decrease in revenues generated for mobile value added services with Telco operators. Total fiscal year 2016 non-GAAP gross profit margin. Non-GAAP gross profit decreased by 9.2% to RMB713.7 million, which represents a 49.4% non-GAAP gross margin as compared to 48.9% in fiscal year 2015. Non-GAAP operating income for 2016 was RMB37.3 million as compared to RMB 113.3 million in year 2015. Non-GAAP operating margin for 2016 was 2.6% as compared to 7% in fiscal year 2015. The decrease was primarily due to the increase in mobile traffic acquisition expenses. Non-GAAP net margin for 2016 was 5.8% as compared to 9% in 2015. Non-GAAP net income attributed to ifeng for 2016 was RMB84.3 million or RMB1.17 non-GAAP net income per diluted ADS. Lastly, I like to provide our business outlook for the first quarter of 2017. We are forecasting total revenues to be between RMB285 million to RMB300 million. For net advertising revenues, we are forecasting between RMB239 million and RMB249 million. For paid services revenue, we are forecasting between RMB46 million and RMB51 million. This concludes the reading portion of our call. We are now ready for questions. Please go ahead, operator.
Operator: Thank you ladies and gentlemen. We will now being with the question-and-answer session. [Operator Instructions] Our first question comes from the line of Wendy Huang from Macquarie. Please go ahead.
Joe Yu: Thank you, management. This is Joe asking question on behalf of Wendy. I have two questions if I may. The first one is regarding Yidian competitive landscape, could management comment more on your competitive advantage against some of your key competitors, and also what’s our thought on potential M&A for Yidian? And second question is on the ad market outlook. Your 4Q ad revenue came better than expected, but 1Q guidance it's quite weak, so how should we think about full year 2017 ad market outlook. And where do you see advertisers shifting budget away to and away from? Thank you.
Ya Li: Hi Joe, hi this is Ya. Thanks for the question. First of all the Yidian’s competitive landscape and our competitive advantage, we look at this mobile news feed sector, we realize with both UC and Baidu joining the competitive landscape and also the demonstrated monetization capacity by some of the peer companies. And this becomes most contended, one of the most contented area in mobile internet, because of its relatively better business model, because of limited cost structure and also high revenue potential and especially the high frequency daily usage and the big data user graph which provides potential for any more innovative revenue streams in the future. So that's the first point that I want to make that this is a very attractive factor and very compatible. Secondly, when we look at the news feed players, I think most players provide similar contents, which easy to copy from each other. And also user acquisition cost continue to increase as user switch their mobile handsets every 12 to 18 months, I think the user acquisition becomes you know most important capacity among different players. And that's why I think we have a unique advantage here in the way that we acquired; we secured these strategic alliances with two of the top four - the handset manufacturers. Especially with OPPO came out as the number one handset manufactures in 2016 and also going very strong, while Xiaomi continues for the most internet active users’ handset. So with these two strategic alliances, we preinstalled all their new handsets and in addition, we also provide exclusive news feed on their browsers. The browsers are the basic application cannot be removed by the users. These two handsets combined have over 240 million daily users. And our news feed embedded in the browser service actually is helping us to already become the number one new service provider on both handsets. When we combined the app with the browser, we are the number one new service provider and OPPO as well as Xiaomi already. As we only started OPPO’s preinstalled handset shipments I think only couple months ago. So this is the most important area for competition, user acquisition. With many other, I think players coming to the field, I think number one challenge in 2017 is how each of the user - each of the player will grow their user base when especially when their contents are more or less the same. That’s where our second differentiation point comes to play. We have a rather unique product positioning and content positioning will provide beyond breaking news at the leisure or tabloid entertainment news. We want our contents to be not only newsworthy or interesting, but also useful and tasteful. But for content to be useful, it demands highly personalized capability from the platform. And we have a different product positioning based on our unique technology, the interest engine which combines the search engine with the artificial intelligence recommendation engine. In 2016, we our users subscribed over 3.65 million TiVo [ph] channels. The total users’ subscription exceeded 4.7 billion on our platforms. This unique feature demonstrates how we successfully I think encourage people to express their genuine interests. So with that, we can capture user interest beyond those are related to entertainment or hot news. This provides of a more accurate and useful user interest graph, allowing us to better provide a more comprehensive contents and also provides a better targeted consumer for advertisers because we understand the consumers better about what the real interest are in their work life related to their health, education, travel, consumption, investment or spiritual pursuit in all different areas. So this product position also allow us to differentiates from the peers which creates active barrier for our high end users and also provide a reason to attracted user to use our services in already saturated market when people are mostly used to use when certain brand. I think so these two got the most important factors. Thirdly, we also provide premium content and sophisticated media operations based our first, the original content from Phoenix provided for Yidian. And also the supreme council operation team led by Richard Tong [ph] [indiscernible] and also the synergy between ifeng and the EDM platform is especially in the area of the self-media, the we-media strong illustrated in his opening remark. So that the main areas, the channel partnership, the technology or product positioning and also the unique premium contents these provides unique I think sustainable competitive advantage for EDM. A second question about ad market outlook, indeed yeah we provided rather conservative outlook for the first quarter. I think as we see from the recent National People’s Congress that the government also adjusted the growth economic growth rate to below last year’s outlook to be only 6.5. And also we do see a lot of uncertainty in macroeconomic environment, but most importantly this year is the seasonal factor. This quarter the spring festival actually is our earlier than previous years, that’s why we delight to be more careful and conservative. And in terms of budget transition I think it’s still is continue on the pace of transitioning from PC away on to the mobile market. I think last year, I think we’ve - the PC revenue drop and this year that’s drop will probably continue and be even worse but we continuous to believe our mobile revenue growth will be in line with industry outlook.
Operator: Thank you. Our next question comes from the line of Alex Yao from JP Morgan. Please ask your question.
Alex Yao: Hi. Good morning, guys. Thank you very much for taking the question. Two quick ones, why is regarding the user acquisition strategy, so you guys talk about the partnership with the manufacturers for user growth. And I’m just wondering beyond that what are the other user acquisition strategy you guys have in mind and how to think about the financial impact for the user acquisition in 2017? A related question is that can you give us the top three channels in terms of efficiency in user acquisition? The second question is in the self-media which you guys talked a lot in the prepared remarks. I think yeah when we took maintenance to make the content move forward with this self-media is very important and in the market, sufficient this from this product the intensive I think every major media platform have here the self-media strategy, Baidu has a Baixar Hao, Sogou has Sogou Hao, Tencent has actually multiple similar initiatives. How are you guys going to position yourself in the self-media mark in, how do you plan to incubate your content supply? Thank you.
Ya Li: Okay. Thanks, Alex. Yeah your first question, I think let me answers it for just both I think EDM and also ifeng perspective. First on ifeng, I’d like to add that we also have some exclusive relationship with Huawei especially on their high end handset like Mate 9 and also expect a new handset, high handset the be announced in the recent exhibit. And so the preinstall with handset is important because as I mentioned that user switching handsets is important point of time to capture new users. And of course secondly, really the content and the brand perception is very important. So for ifeng I think we have seen our user acquisition to rebound especially after these years spring festival when we launched a new version of our ifeng News app with some new recommendation technology to help our service attracted a broader range of users. That overall, I think for ifeng is quality of original content it’s recognized brand image, especially in the era when social media, self-media becomes so prevalent. I think a lot of users are also very I think interested in this assortative content in the world when there is so much change, so much uncertainty, so many breaking news. And we have demonstrated our ability to always attract and retain new users whenever a breaking news or event takes place. I think that’s for ifeng does the content and to the brand is also important way for user acquisition. And certainly we for ifeng we also continue to innovate product like the live broadcasting of events is, one example I think that’s where we differentiate from the these chat room live broadcasting events and that’s also very I think valued by our advertisers. So it becomes a complete cycle for us to provide this circle, for us to provide this valuable service. And back on EDM, I think introducing to such as license with OPPO and Xiaomi. For iOS, this is a very important area for our EDS user growth in 2017. I think first we have to continuously hence our product experience and content quality, so that the idea of not only newsworthy and interesting but also useful and tasteful are putting to your layout, [Foreign Language] in Chinese. And I think that product or counter positioning has to be easily proved and easily experienced by our users. That’s how we can persuade users try our service, relying on the word of mouth, rely on friends recommendation and rely on some I think virus marketing, in addition to some I think the integrated strategy of enhance brand recognition, our unique product positioning recognition, and also many localized events to make the brand better recognized especially among the third and fourth tier series. Last October, we launched roundup for brand campaign among the first tier series and we did receive a very good result. But this year we're going further down to the third tier series. So the combined effort of brand recognition enhancement and also channel investment, channel investment, of course we rely on technologies like a deep link, like SEM, basically to acquire users based on our progress of future. When we are able to do large scale or super D.I.Y. for encourage users to subscribe to millions of keyword channels that's where we can acquire user based specific personalized interests, they care about, while we provide the kind of content service was satisfied that which goes beyond breaking news and tabloid news. Breaking news and tabloid news it's difficult to differentiate, it's difficult to persuaded users that we can provide the better breaking news or tabloid news on Yidian platform. But for highly personalized useful and tasteful interest area, our product, our uniqueness is the way we establish our user acquisition strategy. And the financial impact, I think we are first going to look at the overall market, if the overall market is still going after the user market share, we have to also we cannot just to pursue a profitability this year. So both for Yidian and ifeng I think we are going to, based our strategy and investment on the overall market sentiment and market - the competitor’s strategist. However we want to - based on our user acquisition, based on our unique strengths, our content strengths, random strengths, product uniqueness, et cetera. And also we look forward to establish further strategic partnerships with many more not only hardware players, well also software players like for Yidian, we also established some partnerships with some major like a social media, short video player and also big data I think players. These are all different ways to provide a unique strategy not relying purely on budget itself. And you want us to give provides three top user acquisition channels, I'd like to you know probably not - I don't - we don't want to share that in public space as we think that it is comparative information for us, hope you understand.
Shuang Liu: Alex, let me add that, the Yidian and ifeng use support team actually give us a better competitive advantage. While Yidian enter into deep cooperation with Xiaomi and OPPO, hyper news as just started the preinstall with Huawei, like I mentioned in my opening remarks, Mate 9 and Mate 9 Pro, so basically three of the top five handset manufacturers has have indoors our brand and products. So that’s give us a very big competitive advantage. In addition to that we're also talking to other online shops, but we have very rigorous task internally, so we're going to monitor the operating metrics months-by-months to make sure the ROI of these pre installments or online cooperation will generate better results. As you mentioned that user acquisition is a highly competitive market. For the time being I think our top priority is given to extending market share rather than maintain profitability. I think that is - this strategy in fact interests of our overall shareholder interests. Just like Ya mentioned for competitive reasons, we cannot elaborate exact top three area in terms of user acquisition, but definitely a price dormant and online shop and deep link is three of the top priorities should be taking account by all these players in the market.
Ya Li: And the second question with regarding self-media. Yeah, it is intensive markets, all the players allows huge subsidies for the self-media organizations and the riders. Last year in 2016, Yidian was allowed to this plan called Yidian meaning that we are actually providing all the advertising revenues generated on self-media landing page to fact to the self-media themselves. We do not keep any of the revenue, and that's still the case, I think for 2017. And also - also there is I think when we combined the ifeng self-media with Yidian self-media platform, we have overall 150 million daily users across the PC and the mobile platforms of these two products that’s our huge platform, no self-media can ignore even just because of the overall influence and the rich. So I think the scale provides competitiveness and also we are product technology which can help us to really provide especially some vertical, some more targeted contents to the interested consumers. That capacity also helps us attract the high quality and more diversified riders from all the entire self-media organization.
Operator: Thank you. Our next question comes from the line of Thomas Chong from BOCI. Please ask your question.
Thomas Chong: Hi, thanks management for taking my questions. I have a couple of questions. The first question is management and beyond part of the advertising outlook, can we talk about the trend for each of the advertising key categories? And my second question is about the price hike for this year if there’s any? And thirdly is about price gap between PC and mobile? Thank you.
Shuang Liu: Okay, thanks Thomas. Yeah, first question is about ad outlook for each of the category certainly is a price hike and the third is…
Betty Yip Ho: Gap.
Shuang Liu: Price gap, okay. Yeah, let me address it. First on, our top five categories mostly remain the same with the auto industry followed by e-commerce and by financial service, by communication service and by food, beverage and wine. Among these five you know we think that although for our sales I am talking our sales, I think for the auto industry is continue to going to be the number one category for us, and we don't see much change because I think the advertisers are looking for both performance driven and also brand enhancement. And for e-commerce, we believe that continue going to grow as the overall economic activity shifts online the trend continues. For financial service, we didn't mention awkward and we have recruited more smaller advertisers from asset management, from insurance companies, from traditional bags, This is smaller, I mean their budget probably a smaller, but the financial service we are having more clients, but overall contribution probably this year will be the same not growing much, because of the I think limited growth from the internet financial service providers or the P2P providers. And for the communications sector, the mobile operators especially the handset manufacturers continues to spend money to acquire consumer, so we think that area will still be strong. For food, beverage and wine and we are targeting, we are hoping that specially the white wine Chinese bai jiu industry to continue to rebound, and so we're also optimistic about it. In addition, we see the internet service companies like the O2Os, the sharing economies that’s still going to provide new opportunities for us. About price hike, for PC rate 2017 is about the same as last quarter. And for the mobile web, we increased our rate by 32%. And the for news app, we increased our price by 25% in the first quarter compared to the fourth quarter of last year. The price gap I think right now the mobile some of the premium position of the mobile - our mobile platform already exceeded the premium position for PC and our - I think the trend will continue. And also another area of affecting price is our expansion of programmable buy the DSP performance apps as it contributes to 20% of our revenue in 2016. We believe that’s performance is a better management for advertising ROI. So as we continue to provide important marketing - brand marketing, including relative marketing services, the performance driven DSP as we also increased steadily. But since we are still going to sell our premium positioning using brand advertising, so the DSP growth will be I think just I’d rather I think we’ll not be too steep this year.
Thomas Chong: Thanks.
Operator: Thank you. The next question comes from the line of [indiscernible] from Nomura. Please ask your question.
Unidentified Analyst: Hi good morning management. Thanks for taking my call. I think management talk about your collaboration with North America in the beginning of the quarter. So I just wonder how do you pay those handset manufacturers for such channel services, it’s a revenue share model or you pay a fixed money for smartphone, for smartphone to those handset makers and or is that just and how long is your contract with that smartphone makers? And also for Yidian position, I just want to what are the line advertising verticals and for the advertisers, are they mostly SME or multi-national advertisers? And also just wonder what’s management’s view on the competition for our budget this year, for Yidian this given the fact that we have some new entrants by and using news feed entering this market? Thank you.
Shuang Liu: Okay, thank you. First about our relation with handset manufactures, it's all different, I think for Huawei with the standard market practice, but we value our premium content for their premium flagship handset, the things that fit their target audience. And also we think that's also fits to our target audience, so it's mostly you know it's the pre-installment are using payment, using cash. And for the Yidian, I think we have a long and strong relationship as Xiaomi and OPPO combined they are significant shareholders of us. And also you know the relationship also is strengthened by additional revenue sharing schemes. And as I mentioned that we’re already each of these two handsets, Yidian is already the number one new service provider. We combined browser news feed in the browser and work with the independent news app. So I think this strategic relationship is rather unique and as Xiaomi already is entering into the third year of such exclusive corporation with us. So we believe this ratio will grow even stronger and will be very long. And the second was about SME and multi-national, I didn't hear clearly what - can you repeat that question?
Unidentified Analyst: The second question right?
Shuang Liu: Yeah.
Unidentified Analyst: I just wonder - yeah what are your major advertising verticals for Yidian to change, yeah so the big advertisers like multi-national advertisers or SME advertisers and also as wonder what’s you competition landscape for advertising in budget for Yidian?
Shuang Liu: Okay, yeah, I think for Yidian, we provide both our performance add and also the brand advertising. For brand advertising and auto industry is again is also the overwhelming number one factor, for performance driven we do have a lot of SME customers. And in terms of competition for ad budgets, it all comes down to the ROIs for the advertisers, if we can have better ROI based on the advertisers purpose and so we have to improve our advertising effectiveness based on as where you mentioned illustrated we have a better user interest graph. We’ve understand the user better. We know that the user specifically subscribed or searched or shared or favorites what kind of contents beyond especially those contents beyond the breaking news or leisure, tabloid news. This unique product positioning allows us to better capture the interests also generates better going beyond the clicks to rate. Because click to rate can be somewhat manipulated by enhanced advertise - is the ad creation - however you have to deliver better result in terms of conversion the user interest has to match the advertisers target of consumers, that's something I think our product positioning allowing able us in the long run, as we also innovate our performance and platform we launched the Ling Xi ad platform last June, and also we are expanding our performance at sales team this year, so we are looking at faster expansion of SME clients this year. And in terms of big international multi-national advertisers we have being I think rather successful even just during the first year of full year operation - operation we achieved the highest award in last year's Annual Chinese Ad Festival in Haikou, and we received more than 80 I think different awards on that festival. So I think the competition for ad budget will be based on our unique product, and also by our intense sales team.
Unidentified Analyst: Got it. Thanks for the color. May I ask a very quick follow-up is that correct, the SME advertisers contribute the majority of the ads revenue for Yidian at least for now and also for the SME advertisers to just wonder what are their major industries out there like a service providers or from some other verticals?
Shuang Liu: Okay, I think in fact for 2016, I think our SME is about the same with a larger corporations contribution to Yidian versus advertising. And so for the SMEs factories when just all different from real estate, financial service, e-commerce, internet service you know many of them are local advertisers and we expand it our localized services or ad sales operations into 45 different provincial and municipal areas across China.
Unidentified Analyst: Got it. These are all my questions. Thank you very much.
Shuang Liu: Thank you.
Operator: Thank you. Our next question comes from the line of Natalie Wu from CICC. Please ask your question.
Unidentified Analyst: Hi good morning. This is Greg, I just ask the question on behalf of Natalie. Thank you for taking my question. I ask a question sort of proceeds for housekeeping, can management give us some real color on the mobile contribution and in the advertisement revenue? And the second question is about the positioning between ifeng new app and especially when you guys mentioned you've launched the news feed on ifeng news app in the last quarter. And what's the different position between that and Yidian. And in terms of the user behavior on both platforms, what kind of trend user time spent gets observed because for competitors we've observed a lot of them aren’t using a video strategy and using short videos et cetera to increase the time spent platform to increase to - new entry and what Yidian strategy on that front? Thank you.
Shuang Liu:
. :
Ya Li: Yeah, let me answer the second question. Yeah, this is Ya. As I had mentioned in opening remarks and you know our previous quarters. Ifeng News and Yidian are totally different products. Yidian target more grassroots users and more other than driven and more product driven catered to the users a long tail of interest and not necessarily very time sensitive information, entertainment, general entertainment media. Ifeng News target at White Collar elite and has very strong media DNA. And it focus on fear and more timely sensitive information, if - as you nicely mentioned that we just ifeng News just adopted AI backed algorithm to cater to users personalized information needs. But even the - but I have to say the algorithm adopted by ifeng News it different from Yidian. First get a stronger media DNA and it's more emphasized on the journalism, the editing, and also because the different user demographic. So the big data collected by these two platforms are fundamentally different, so different user behavior, different demonstrated user interests, and also different entertainment consumption habit. So then - because of the - because algorithm is based on deep learning, so the learning that the massive data collected by these two platforms is different, so the algorithm patent it's also different. I also want to emphasize that both these new two products have adopted short video is definitely a key load application these two apps to enhance sickness. Ifeng News just like I mentioned in my opening remarks, we have achieved four minutes extension of user sickness. Especially given the fact that we just - it’s a low piece, it’s Chinese New Year festival, so these achievement is quite significant that definitely demonstrates the success our new product upgrade.
Shuang Liu: Yes, and also on the user behavior I think it because also the product positioning difference in product positioning that's why we do see that Yidian has a longer time spent per day per user, as we provided more comprehensive contents. And after people reading or finishing the most important and interesting news content, we can dig further into the area which the find useful to them. And I think that's why we see the Yidian time spent actually ramps I think among the top especially when we exclude, if we exclude the video time spend, and we believe that Yidian app has been the highest time spent on non-video content compared to all the players in the market. While for ifeng it has a very healthy over 30 minute time spent per user, per day and as we provide the most newsworthy contents to this. And going forward, we do plan to enhance the application or the service of video, short video content, and also news view content and not only in these apps and also in the newsfeed in the OPPO and Xiaomi browsers, so that I think we provide a complete package of newsworthy interesting useful and tasteful.
Ya Li: And let me also add that, even for our high end user like me, it's pretty natural for me to use both the two apps for different reasons. Ifeng News provide me with most efficient access current news, most of agents, most reliable, most professional coverage of the global events. While Yidian will soon give me plenty of choices to queue my time, if you have longer time, I can get access to personalize entertainment related or life style related information. So even for elite users these two apps can address you different needs. So I don't think there is any cannibalization between these two apps.
Unidentified Analyst: Okay, thank you.
Operator: Thank you. There are no further. I’d now like to hand the conference back to the management team for closing remarks.
Shuang Liu: Thank you, operator. We have come to the end of our Q&A session and our conference call. Please feel free to contact us if you have any further questions. Thank you for joining us on this call. Have a good day.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.